Operator: Welcome to Vitrolife Q4 2025 Earnings Call. [Operator Instructions] Now, I will hand the conference over to CEO, Bronwyn Brophy, and Par Ihrskog. Please go ahead.
Bronwyn Brophy: Good morning, everyone, and welcome to the Vitrolife Group Q4 report. I'll now move you through the first slide of the presentation. Let me start with the highlights. We delivered 6% organic growth in local currency, excluding discontinued business, beating our own internal forecast for the quarter in relation to the top line. Strong growth in Americas, again, driven by North America. I should also call out that APAC also performed very well in the quarter with 10% organic growth in local currency. And the third point that I would like to highlight is that following a strategic review of our Genetic Services business, we announced a restructuring program in December. This will allow us to focus on the key tests and markets with stronger prospects for profitable growth. I'll now move on to the next slide, please, and take you through the key highlights. So sales in the fourth quarter were SEK 891 million, an organic growth in local currencies of 6%, as I mentioned, but significantly impacted by minus 10% from currency effects. Gross margin was 58.6% when adjusted for the restructuring. This was a decrease versus Q4 2024, which was exceptionally strong. Additional factors impacting the gross margin are: a currency impact, which is the majority impact; the regional mix. As you will see in the coming slides, we are increasingly having a greater percentage of our revenue coming from Americas. And then, we also have a mix effect within Consumables in APAC, where we had a targeted campaign in disposable devices. Moving down then to EBITDA. We had EBITDA of SEK 251 million in the quarter, equating to an EBITDA margin of 28.2%. We also have a significant negative currency impact here just under 3%. Regional mix and product mix, as I mentioned also in relation to margin, is playing a role. And we do have higher OpEx here due to strategic investments that we made in sales and marketing in North America -- of course, that also helped us to drive the growth there -- and also in IT, where we have made investments to support our customer journey and also enabling us to drive growth in North America. I'd like then to comment on the operating cash flow, SEK 160 million. Clearly, here, the starting point is lower for the reasons that I have just explained. Last year, we also had a positive effect from changes in net working capital. Then, for the full year, we had organic growth in local currencies, excluding discontinued business, of 4%. And actually, Par in his final slide of the financial section will take you through the full year numbers in detail. Okay. Moving on then, please, to the sales and growth per geographical segment. So I'll start with Americas, where, as I said, we delivered 9% organic growth in local currency, driven by a very strong performance in our key focus market of North America. Americas, as you can now see, accounts for 34% of our revenue. Moving on then to EMEA, a challenging quarter for our EMEA region as we expected due to very high Technologies quarter across the region in Q4 2024. I do want to highlight that Europe is performing well. However, Genetic Services in the Middle East is impacting the overall EMEA results. A great quarter in Consumables across the region with share gains in key focus markets. EMEA now accounting, as you can see there, for 34% of the share of total sales. Okay. Moving on then to APAC. We had strong growth in APAC, up 10% organic growth in local currencies, and this region outperformed our internal expectations in both Consumables and Technologies. Okay. We'll move on now and take a deeper dive into each of the regions, starting with market region EMEA. Sales in EMEA were SEK 333 million, a decrease of minus 1% in local currencies, excluding discontinued business. Consumables delivered 11% growth, well above market growth level, and this was driven by share gains in key focus markets where we decided to double down. So you're really going to see that focus is the name of the game for us. As I previously mentioned, we were very challenged to deliver growth in Technologies in this region due to the comps with last year. So this decline was forecasted as expected. What I am pleased with is the run rate revenue coming from the consumables part of Technologies is performing strongly. Moving into Genetics then in the EMEA region. Genetics is performing very well in Europe. However, clinics in the Middle East have in-sourced activities to boost their income during the downturn from the geopolitical situation, and we don't expect this business to return. Typically, [indiscernible] it tends to stay that way. Moving on then to market region Americas. Americas, we have sales of SEK 299 million in Americas and organic growth of 9% in local currency. We delivered strong growth across the entire portfolio in all markets in the region, which was great to see. The investments we have made in sales and marketing in North America are clearly paying off, and there is no doubt that we are taking share in this key region for the Vitrolife Group. We have been focusing the team on increasing the penetration of EmbryoScope, and we were delighted to see a 40% growth in Technologies in this region in the quarter. Genetics also continued to perform well, driven by share gain momentum. Earlier in the year, we have taken quite a bit of share in North America, and that share gain momentum continued in Q4. Okay. I will now move you on to market region APAC and give you some more color on the performance here. So a strong finish to the year in our APAC region, growth of 11% in local currencies in Consumables, driven by share gains in disposable devices where we launched a targeted campaign. We delivered 13% growth in Technologies as clinics finally released year-end budget, thereby allowing for investments in capital purchases. So overall, a strong finish to the year after a tough first half in APAC. I will now hand you over to Par, who will take you through further details on our geographical segments.
Par Ihrskog: Thank you, Bronwyn. We are now on Page #9 in the deck, where I will provide more details of the geographical segments, Americas, EMEA and APAC, starting with the Americas on the left side. As Bronwyn mentioned, sales amounted to SEK 299 million, reflecting a 9% organic growth in local currencies and a minus 4% growth in SEK, negatively impacted by currency. Gross income amounted to SEK 167 million with a gross margin of 55.7%. This compares to last year's gross income of SEK 171 million and a margin of 55.0%, an improvement of 0.5 percent points, driven by the product mix despite negatively impacted by the FX effect on the gross margin. Selling expenses for the quarter rose from SEK 76 million to SEK 83 million, reflecting the ongoing investment in sales and marketing in the U.S. as previously announced. The market contribution for the quarter was 27.9% compared to 30.5% last year, impacted by the increased strategic investment into sales and marketing capabilities. Let's move on to EMEA. There, we had a minus 7% decrease in local currencies and minus 13% in SEK, totaling to SEK 333 million sales. The sales were negatively impacted by currencies and the discontinued business. Excluding the discontinued business, sales decreased by minus 1% in local currencies. Gross income was SEK 195 million with a gross margin of 58.5% compared to SEK 245 million and a margin of 63.9% last year, mainly driven by the restructuring reserve, negative currency and product mix effects. The gross margin excluding the restructuring was 60.2%. Selling expenses increased from SEK 82 million to SEK 100 million. Excluding the restructuring costs, the selling expense amounted to SEK 79 million, which is in line with last year [indiscernible]. The market contribution margin for the quarter was 28.4% compared to 42.4%, explained by restructuring reserve and product mix. The adjusted market contribution was 36.4%. In APAC, sales amounted to SEK 259 million, reflecting an increase by 10% organic growth in local currencies but a 2% decrease in SEK, negatively impacted by currency. Gross income was SEK 155 million with a gross margin of 59.9%, which is lower than previous year's gross income of SEK 170 million and a gross margin of 64.2%, a decline of 4.3 percent points compared to previous quarters, negatively impacted by currency and product mix within the Consumables in APAC. Selling expenses increased from SEK 40 million to SEK 45 million. The market contribution margin for the quarter was 42.5%, down from 49.1% last year, explained by lower gross margin and somewhat higher OpEx in the quarter. Let's move to the next slide. On this slide, I will comment on the Q4 financial highlights, starting with net sales. As [ earlier ] mentioned, the sales amounted to SEK 891 million compared to previous year with a sales of SEK 959 million, corresponding to a 3% growth in local currencies, a minus 7% decrease in SEK and positive growth of 6% in local currencies, excluding discontinued business. The gross margin income amounted to SEK 522 million compared to SEK 586 million previous year, corresponding to a gross margin of 58.0%, down from 61.1%. Q4 2024 was an exceptional strong quarter from a margin perspective. Adjusted for the restructuring, the margin in Q4 this year was 58.6%, which is more in line with our historical performance. The drop in the margin is explained by mainly currency effect, but also regional mix effect and also the mix effect coming from the Consumables in APAC. And then, I'll move to EBITDA. EBITDA -- all in all, this gives us an adjusted EBITDA of SEK 251 million compared to SEK 337 million previous year. As I just mentioned, this was an exceptionally strong quarter last year. This gives us an EBITDA margin of 28.2% when adjusting for restructuring expenses compared to 35.1% last year. The drop in margin is explained by currency effects, regional mix effect and mix effect within the Consumables in APAC. Okay. Let's move to the next slide where I will go more into detail on the operating expense development last year compared to this year. So last year, we had an OpEx of SEK 361 million, and this year, we ended up at SEK 378 million. And let me explain the bridge here. On the selling expense, we saw an increase. This is excluding impairment and restructuring reserves. So this is clean from those onetime bookings. So the selling expense increased by SEK 6 million, reflecting the investments we have done in North America in sales and marketing. The admin expense, we saw a reduction of SEK 2 million versus Q4 last year. We still have some increased IT expenses here, but that has been offset by a reduction in other admin areas, so a positive net effect. On the R&D, we saw an increase of SEK 5 million in the quarter compared to last year, which is mainly a phasing effect. And the spending here is in line with our efforts to increase our R&D expenses in preparation of new product launches. And on the other operating expenses, in this one, we also have the FX effect from our revaluation of accounts receivables and accounts payable, had a negative effect in total. Okay. And then, key financials. Here, I will focus on the year-to-date column mainly. And the sales then for the full year amounted to SEK 3.5 billion, corresponding to a 2% growth in local currencies, a 5% decrease in SEK and a 4% increase in local currencies, excluding discontinued business. The gross margin decreased from 59.3% to 58.1%, mainly due to currency effects. The adjusted gross margin is 58.2%. The EBITDA for the full year amounted to SEK 949 million compared to SEK 1,225 million corresponding to an EBITDA margin of 27.6% versus 34.0% previous year. The adjusted EBITDA margin was 29.2% for the full year. And again, the decrease in the margin is heavily impacted by currency effect, driven by the strengthened SEK against other currencies. The margin was also negatively affected by the increase on OpEx, which I explained is mainly selling expenses in North America and our IT investments. Net income amounted to SEK 390 million compared to SEK 514 million previous year, heavily impacted by the currency fluctuations. This gives an earnings per share of SEK 2.89 compared to SEK 3.78 last year. On the operating cash flow, it amounted to SEK 635 million for the full year compared to SEK 907 million previous year. The main reason is the underlying result, but also we had a negative impact on the changes in net working capital this year, explaining part of the difference. Our leverage net debt to EBITDA ended up at 0.7 compared to 0.7 previous year. The proposed dividend from the Board is SEK 1.10 per share, which is the same as last year. And I will now hand over back to you again, Bronwyn.
Bronwyn Brophy: Thank you, Par. So moving on then to the focus for 2026. And as always, we will focus on 3 key areas: on growth, on innovation and on operational excellence. And I'd like to start with growth. We will continue to drive share gains in key markets, and that's very important. We're not going to be all things to all people in key markets, leveraging the full breadth of the portfolio. I think one of the statistics that we've been tracking very closely is the percentage of customers who are now buying across Consumables, Technologies and Genetic Services, and this is trending up nicely. So the strategy of leveraging the full breadth is working, and we'll continue to drive share gains using our portfolio position. The second point on growth is accelerated penetration of our combined EmbryoScope and lab control solutions. We've really doubled down here. That's why we're particularly happy with the 40% growth in North America in Q4, and it's really as a result of this EmbryoScope -- combined EmbryoScope and lab control solutions. Third point, very important, we have been investing in commercial excellence capabilities for the past 12 months. It improves our segmentation that helps us to drive profitable growth. And back to the point around taking market share, we've been tracking this very closely now with much more advanced metrics than we had previously. So we will further leverage the commercial excellence capabilities in 2026, again, to drive that profitable growth. Moving on then to innovation. We have prioritized the programs that will have the greatest impact and relevance for customers and patients. I think that's very important. And then, we do hear clinics and customers calling out for help with automation. So we will further develop and we continue to invest in our IVF platform. This will ultimately help clinics to automate, to scale and to drive efficiency. And actually, if you look at the integration that we now have between EmbryoScope and our witnessing solution, you can see the foray that we are making in that area. In relation to operational excellence, we have invested in IT and digital capabilities. We need to make further investments there to improve the customer journey. This has really also helped us in North America last year and then some of the key focus markets in APAC and Europe, and it also helps to increase our efficiency. And another focus area in relation to operational excellence heading into 2026 is, we want to drive improvements in our internal processes and workflows to optimize our cost base. And then, as you know, the Vitrolife Group doesn't like to issue guidance, but we just wanted to give an opinion on the macroeconomic conditions as we turn the corner and are now into 2026. We do expect market conditions to return to more normal levels this year, thereby providing greater opportunities for us to drive profitable growth. So this will be the focus for the company in 2026. And with that, I think we can now move into Q&A. Thank you very much for your attention.
Operator: [Operator Instructions] The next question comes from Jakob Lembke from SEB.
Jakob Lembke: My first question is on the gross margin. You mentioned regional mix here during the call. I just want to clarify that is this mainly related to the sort of different business mix you have in the regions? Or are there anything else behind that in the regional mix? And then, also if you could sort of give an indication of sort of a 58%, 59% gross margin is a new normal we should expect going forward?
Par Ihrskog: Yes. On the gross margin, as we explained, it's a big impact from currency, but also partly it's regional mix. It's less impact on -- it's a negative impact, but it's less impact compared to the currency impact, and it's very much driven by the growth in U.S. Yes. And what was the second part of your question?
Jakob Lembke: No, given the moving parts, I guess, a range between sort of 58% and 59% on the gross margin is something we should expect going forward?
Bronwyn Brophy: Yes, I can take that one. And maybe just to add one point to Par's point. Just on the gross margin, Jacob, because I know you know us very well, so there is a regional mix effect. Par is spot on there with the U.S. growth. I guess, everybody knows that one. There is also a mix effect within Consumables in APAC. So you can see that there. In terms of what you can expect going forward, I mean, Q4 last year wasn't normal. It was abnormally good. I think we will return to more normal levels, more in the sort of 59% range. We're not expecting the mix effect to be this extreme as we move through 2026. We're also working on initiatives to improve our profitability in North America. As you know, North America has a big component of Genetic Services. But obviously, the more we can increase Technologies' penetration, EmbryoScope and share gains on Consumables side, that helps. So yes, I guess, this quarter, we're sort of comparing 2 extremes, if you like, but we expect to return to more normal gross margin levels in 2026. Does that help to answer your question without reading too much? Is that okay, Jakob?
Jakob Lembke: Yes, that's very clear. Then my follow-up question is just on trying to understand the admin costs here in Q4 because, I mean, you had sort of surprise high admin costs in Q4 last year, and now, they're also looking quite high when we disregard the one-offs as well? And yes, sort of just what is really behind that? And also, what do you expect for costs related to the legal process in the U.S. for 2026?
Par Ihrskog: Yes. On the admin cost, in there, we have IT and then we have other support functions like finance and HR and legal. And IT spend, as we have communicated also previous quarters, have increased somewhat to -- as we invest in our IT capabilities. That increase in IT that we've seen in the last couple of quarters, in Q4, it has been partly offset by reduced admin costs in other areas such as finance, legal and HR. Yes, so this level you see right now is the underlying base. We have also communicated in December a restructuring program where some -- where we are attacking or looking at reducing admin cost and selling costs in 2026.
Jakob Lembke: Okay. And if you could comment on expectations on legal costs maybe for '26 versus 2025.
Par Ihrskog: We have not made any reservation for legal costs related to the transaction in U.S., and we don't plan to either. We don't see the need for that.
Operator: The next question comes from Ulrik Trattner from DNB Carnegie.
Ulrik Trattner: A little bit sort of -- [ if we can ] dig a little bit deeper into this IT investment you're doing. If you can provide us with some more specific on what it actually is? How big are these investments? And for how long do you expect to invest into essentially the back end of your business?
Bronwyn Brophy: I can take this one, Par. Yes. So I guess, IT investment is going into 2 key areas, Ulrik. The first part is on the customer-facing, customer journey, digitalizing how we interact with clinics, but also with patients. And this is a key enabler of driving growth, particularly in North America, but also increasingly in Western Europe. So I would say that's category one. We're also making investments in IT that will allow us in time, and it will take time, to improve our efficiencies. So, that can be efficiency in lab operations, things like [indiscernible]. Obviously, when you're running a services business, you want to have -- you don't have to have the best of every system, but you want to be able to drive efficiency and also scale. So apart from the customer journey, the other investments are going into, I guess, what I would call backbone investments. Now, again, we have to be pragmatic here. They need to be linked to driving growth. And we're not expecting to be best-in-class in everything related to IT, but we do believe there is a need to make investments in order to support our growth ambitions. Does that answer your question, Ulrik?
Ulrik Trattner: Sure. Yes. And just to clarify, so it sounds like there's not IT investment into products. It's more customer -- like more on sales and marketing kind of IT infrastructure rather than IT investment into products.
Bronwyn Brophy: Yes. I think that's a fair comment. Yes. I mean, we are -- as part of our R&D program, as you know, we've openly stated that we are aiming to build an end-to-end IVF platform. So there are some digital investments there, but the vast majority are going on the customer sales and marketing drive growth side, either drive growth or help us to improve efficiency. So yes, you're correct with that assumption.
Ulrik Trattner: Great. And just a follow-up question on the general OpEx math and quantification of FX effect on EBITDA. If you were able to give us some hint on the quantification of the negative FX effects here for Q4? We know the top line effect here, but how big was the effect on EBITDA?
Par Ihrskog: Yes. All in all, the FX effect on EBITDA margin is approximately 2.5 percent points affecting the EBITDA margin negatively.
Operator: The next question comes from Sten Gustafsson from ABG Sundal Collier.
Sten Gustafsson: First of all, a clarification there or maybe confirmation. Did you say that the adjusted contribution margin for the EMEA region was 36.4% in the quarter?
Bronwyn Brophy: [indiscernible] adjusted margin? Can you repeat the question, Sten? Can you repeat the question, Sten? You just went [indiscernible] for a moment.
Sten Gustafsson: Sure. I think you mentioned the adjusted contribution margin in the EMEA region.
Par Ihrskog: Yes, it is -- the adjusted one is 36.4%.
Sten Gustafsson: Okay. Great. So my question is, what exactly are you restructuring in the EMEA region? And how should we think about sort of -- will there be savings coming out of that? Or what exactly have you done in the region?
Par Ihrskog: Yes. I mean, this restructuring is connected to the announcement we made in December related to the Genetic Services business. We are stopping providing 2 product lines, GPDx and NACE, and we are also exiting some markets. And so -- and of course, that affects the whole company but has a larger effect on this region compared to the other regions. So the restructuring cost is related to people, to a large extent, that are affected by this restructuring action that we are taking.
Bronwyn Brophy: Yes. Maybe to explain in a slightly different way, Sten, we announced the restructuring, as Par mentioned, in December. The region that's most impacted by that restructuring is EMEA. The reason why EMEA is the most impacted region is because most of the NACE and GPDx revenue was in that region. And most of the markets that we will be exiting is within the EMEA region. So that's, yes, maybe a slightly different way to explain it. Does that answer your question?
Sten Gustafsson: Yes, absolutely. That clarifies a lot. And I do remember you announced it, and we were discussing different potential cost savings coming out of it. So it all makes sense.
Operator: The next question comes from Ludwig Germunder from Handelsbanken.
Ludwig Germunder: So I'll stick to the one question, and it's about the organic growth that you -- I think 3% reported, but 6% excluding discontinued businesses. Would you be willing to help us understand the phase-out of the products? For how long will the tests continue to be a part of your sales? And when do you expect the phased-out products to be fully phased out?
Par Ihrskog: Yes. This discontinued business doesn't relate to the exiting of these 2 product lines. This relates to the exiting of a market announced also last year -- or in December 2023, we announced that. The exiting of these product lines that we announced last December are taking place right now. We expect it to be finalized in Q1.
Bronwyn Brophy: Yes. Most of it should be -- yes, sorry, just one correction. So we exited that market. I think most people know which market it is. So we exited that market in December 2024. So we have the full 2025 having to explain organic growth in local currencies, excluding discontinued business, and it was because of that exit of that sizable market in Q4 2024. With the restructuring that we announced in December, our goal is to have essentially to be fully out of those tests and most of those markets by the end of the first half. We have set ourselves an accelerated target on that. So we -- in certain instances, we'd like to be done and dusted by the end of Q1. But our commitment in that announcement is by midyear. Does that help to answer your question? And just to make sure we're not confusing a previous market [indiscernible]. And there are a lot of puts and takes here. So I do apologize, yes.
Ludwig Germunder: Yes. And just a follow-up on that. Do you expect -- the organic growth, which was 6%, now do you expect that growth to continue to be around that growth rate over the next year? Or how should we think about the future?
Bronwyn Brophy: Yes. I don't like to guide, and I don't like to guess. The only thing I can say to you is that we are expecting market conditions to return to more normal levels. I mean, last year, it wasn't normal in any shape or form. We had a big APAC effect in Q1. We had a Trump U.S. administration effect in Q2 and Q3. So we do expect more normal market conditions this year. I guess, what does more normal mean? There are big regional variances now, as you can see. But what we've decided to do as a company is double down where the growth is and obviously protect what we have where the growth is a little bit slower. So I don't want to guide. All I will say is that we -- and I hear the same from some of our competitor transcripts. I think as an industry, we're expecting more normal market conditions this year. The key thing for us is not just driving growth, it's driving profitable growth. So big focus this year on ensuring that we get the right portfolio balance in the regions. I think North America is doing fantastically well, and we're really happy that the investments there are paying off, but we need to continue to drive EmbryoScope penetration. We need to continue to take share gains in Consumables. So I don't want to guide. I'm not going to fall into the trap, but hopefully, I've given you more color around how we see things in 2026 and more of a return to normality. But again, it's got to be about profitable growth.
Operator: The next question comes from Ludvig Lundgren from Nordea.
Ludvig Lundgren: So I wanted to start off a bit on the same theme here on the IVF market environment. And I think in Q3, you highlighted that you saw a pickup in cycles towards the end of the quarter. So I just wonder how this has tracked throughout the quarter? And yes, now, like, into January here, has it continued to improve basically?
Bronwyn Brophy: Yes, good question. So, as I mentioned before, we didn't sort of see an explosion of pent-up demand in North America following the announcement from the White House in October. But we did see a steady pickup in the cycle growth in the final weeks of the quarter, and that seems to be continuing into Q1. It's very early to say. I haven't even seen our full January numbers yet, but I'm going to -- I was at JPMorgan. I spent a lot of time visiting customers as well in the U.S., and the sentiment seems to be better. What I would say is that the announcements that were made in relation to very significant price reductions, everybody now realizes that that's not the case. But there's clarity now in the U.S. in terms of what the cost of a cycle is going to be. There are other things like California becoming a mandated state. That's something that was delayed for quite a while. So I mean, it's one stage within the United States, but it's a big one. So I think there's a little more optimism in California, in particular, in terms of cycle rates slowly but surely picking up as we advance through 2026. And then, I don't want to make it all about North America, how do we feel about the rest of the world. Western Europe is looking good and steady, and cycle growth seems to be, again, approaching more normal levels. The Middle East, it's had a big -- that's been a big impact to the geopolitical situation there. And then, as we view APAC, I've commented many times, we believe that there are endemic issues in China in relation to improving the birth rate and the cycle growth, but the government is also increasingly stepping in and approving funding. There are opportunities in other parts of Asia, which I'm not going to go into for competitive reasons. So relatively normal growth rates returning, we expect, but there will be regional differences. And I think the key thing for us, back to the point that I made on our commercial excellence capabilities, we're really getting laser-focused in terms of where we're doubling down and where we're not going to double down, so where do we see the greatest opportunities to drive profitable growth. Does that answer your question, Ludvig? I don't want to be going around the world giving my sort of prognosis, but that's how we see things at a corporate level.
Ludvig Lundgren: Yes. Very clear. And then, I just had a follow-up on the gross margin in APAC here. So you highlighted that there was some negative product mix from campaigns, I believe. So I just wonder if it's possible to quantify this in some way. And also, like, will this affect also Q1, Q2 looking into '26?
Bronwyn Brophy: I mean, I can take the second part. No, we expect the margins in APAC to normalize in 2026. I don't know, in terms of quantifying the mix, we probably can't.
Par Ihrskog: We don't disclose the detail, the effect, but it had an effect, not only in APAC, but also on the total gross margin for the group. But we don't disclose the number.
Bronwyn Brophy: What I will say is, it was a strategic decision to go after a growth opportunity. So it was a targeted campaign. I mean, 10% growth in APAC, I don't think anybody expected that. It surpassed our expectations, but I think it surpassed our expectations more on the Technologies side. On the Consumables, we very much decided that we had an opportunity to take share in disposable devices, and we went for it. Yes.
Ludvig Lundgren: Okay. And just very quick on that, so like when you have gained some share now in Q4 in APAC, like, will that also improve growth ahead in APAC? Is that a reasonable assumption?
Bronwyn Brophy: I mean, that's what we're trying to do. APAC has been pretty stagnant for a lot of the reasons that I've mentioned. The market growth in APAC is pretty stagnant, but we believe we had an opportunity to take share from a couple of competitors in relation to a specific part of the portfolio. So yes, we went for it. Will that continue in 2026? I mean, taking that magnitude of share, that will be tough, but we do have the share gain momentum. So it should definitely improve our disposable device performance in APAC in 2026. Does that make sense without me giving away too much information? Hopefully, I'm helping to answer your question.
Ludvig Lundgren: Yes, very clear.
Operator: The next question comes from Johan Unnerus from SB1 Markets.
Unknown Analyst: Congratulations to the progress made in the U.S. market, especially as you're investing in commercial reach there. Well, some question relating to gross margins. First, a small one. EMEA, I think you referred to some in-sourcing. Does that has an impact on margins in that region? And I have a second question.
Bronwyn Brophy: Johan, thank you for your compliment on North America. We're going to take it graciously because we are very pleased with our North America -- and I think we should bear in mind, it's only 2 years ago that we decided that we were going to go after growth in North America. And to be seeing the returns after only having made those investments not so long ago is pleasing to us. Now, we're not losing the run of ourselves. We have a long way to go, but we are pleased with the progress there. So let's touch EMEA. So what has happened in the EMEA region actually is probably best explained in my CEO comments, and that is with the downturn in activity due to the geopolitical situation in the Middle East. What we have seen is that clinics have in-sourced some of their genetic services business. And we have seen historically, when clinics in-source -- we saw this in North America 3 years ago -- typically, the business -- you might get drip feeds of it coming back, but it's rare that you get all of that Genetic Services business back. So clinics in an endeavor to boost their revenues have in-sourced. They've taken the opportunity to in-source. The impact on margins, that's a good question. It's also a tough question. It's not necessarily a negative thing because the margins in Genetic Services are lower versus the rest of the portfolio. So they're lower than Technologies and Consumables. So it doesn't necessarily imply a negative margin mix in the region. What we do need to do in this region is, we have to make up for that lost business, right? So we got to drive share gains across the rest of the portfolio, and we have to drive share gains in the other markets in the region. I think we're particularly happy with the Consumables performance in EMEA. So you can see on Page 22 of the report, it's 11% organic growth in local currencies. So that's good. Technologies, a very tough quarter. But if we can move the needle on Technologies there, the run rate on Technologies is doing very well, that will also help the EMEA margin mix. So it's a very long explanation to your question, Johan, but there are quite a few moving parts on that one. But hopefully, I'm giving you context there. Yes.
Unknown Analyst: Excellent. And then, perhaps a more important question on the U.S. It's often easier to improve gross margin when you have better traction as you seem to have. But the process of improving gross margins, changing the product mix and perhaps working on efficiencies as well, as you alluded to, could you provide any timelines on those dynamics?
Bronwyn Brophy: Yes. I mean, the thing is -- Par, you can chip in here as well. But the investments in sales and marketing, they're done now. I mean, we don't envisage making any further investments in sales and marketing. I would say they're fully loaded. So now, we got -- we have to drive productivity, right? So the revenue per commercial investment, the revenue per sales rep, that needs to go up. We made those investments. It's taken time. But we would expect productivity improvements in terms of revenue generation coming out of those commercial investments. There is a mix component, and we are really focusing on EmbryoScope and witnessing. That's evidenced in the 40% growth in the quarter. We're going to keep doubling down there. I think what we like is that clinic chains are increasingly seeing the workflow benefits from EmbryoScope. It's a big capital outlay, but it also drives efficiency. So that's good. And then, Johan, we have to look at pricing. I mean, we're still operating in an inflationary environment. We can't carry those costs so inevitably. And the team did a very good job actually in North America last year on pricing. We managed to mitigate a significant amount of the tariff impact. But yes, I mean, inflation is still there, and we will have to look at pricing opportunities actually in all of the regions. Par, [indiscernible].
Par Ihrskog: Maybe I can just add, we have made our investments in the U.S. We don't intend to increase the level. We will -- we have done the work now. So now, it's -- we have this fixed cost there, and we aim for further growth in North America. And if that happens, of course, the contributor margin will gradually improve if we continue to see growth in North America or Americas and keep the OpEx level constant, which is our plan.
Unknown Analyst: And any sense of the effect on gross margins? Should we expect improved gross margin in the Americas, especially in the U.S. market in '26? Or could you provide some flavor on that?
Bronwyn Brophy: I mean, with everything fully loaded, our aim and our goal is absolutely to improve the gross margin in North America. I'm sticking my neck out here. You're going to track me on that metric, but that's what we have to try to do, right? I mean, it's very clear in the numbers in this quarter. We've had a fantastic performance on the top line. North America is doing great and APAC did wonderfully well. But we have to work on the margin piece because we don't want Americas to become dilutive overall. So absolutely, the strategic name of the game and where we're doubling down is on the areas where we can improve the margin from what is becoming our fastest-growing region. And it's the largest IVF market in the world. So we want to win there, but we want to win there driving margin improvement. Does that answer your question?
Unknown Analyst: Yes, sort of.
Bronwyn Brophy: If you want to ask it a slightly different way, and I can see if I can do better without -- yes. What are you missing?
Unknown Analyst: No, no, no. I'm pleased. I mean, I understand the complexity. Of course, it's difficult to provide precise feedback for '26. But yes, I can see the work in progress.
Bronwyn Brophy: Yes, exactly.
Operator: The next question comes from Filip Einarsson from Redeye.
Filip Einarsson: So I wanted to start on something you mentioned both in the call and also in the report, namely the market normalization in 2026. Maybe if you could expand a little bit on this statement and to what extent you expect this to be the graduality of it?
Bronwyn Brophy: Yes. Great question. So historically, cycle growth has been in the mid-single-digit range. That was not the case in 2025. Based on our best intelligence, and we are very close to the market, but also you can hear it in the competitive commentary and also on the clinic side, the cycle growth was significantly impacted in 2025 for a multitude of reasons, which I'm not going to bore everybody with by repeating it. I absolutely hate going back to this zodiac thing, but we don't have snakes, dragons this year. Hopefully, we don't have presidential statements on IVF. I mean, they're done. They're past us. So, that created a lot of noise. The situation in the Middle East seems to be holding. Western Europe is looking pretty stable. Cycles are definitely returning to more normal levels there. So we're not getting very excited in terms of an explosion in IVF cycles. That's absolutely not happening. But based on Q4, early indicators, and again, we are -- we've really become laser-focused on steering Vitrolife in a metric-driven way, particularly on the commercial side. And the leading indicators there do point to more normal cycle levels. How -- the second part of your question then is, how quickly do we get there? How long is a piece of strain? That's a little bit harder to predict. I guess -- well, I don't guess. What we envisage in our company is a slow, steady return to more normal levels. But will we get there in Q1? Maybe. Should we be there in Q2? I mean, unless we have some big disturbances, we would be expecting to get back to those more normal levels in Q2. Does that answer your question?
Filip Einarsson: Yes. Great. And then, I have one more follow-up. So obviously, currency has been a big topic in 2025 and in Q4. Can you maybe elaborate a little bit on if there's any measures taken to limit the impact in 2026, given eventual ongoing uncertainty on the macroeconomic level?
Par Ihrskog: Yes. Currency has been a huge impact for us and for many Swedish companies having exports. Just to give you a flavor of it, the U.S. dollar-SEK rate, you probably know this, but the SEK strengthened almost 17% last year from 1st of January to end of December. And the euro was more like 7%, 8%. And the Danish krona, which is also an important currency for us, was also some 8%. Yen was 14%. So we had a huge impact on currency. So what do we do to -- I mean, we don't really know what happens. We don't work with hedging in our company. What we are trying to do better is to increase our natural hedge by balancing purchases in certain currencies matching the revenue stream. This takes time. So I don't expect us to fix that in a short while, but this is something we need to increase our focus on going forward to improve our natural hedge.
Operator: The next question comes from Sten Gustafsson from ABG Sundal Collier.
Sten Gustafsson: Going back to the very strong performance in Asia or APAC region, 10%, obviously, very impressive, and you talk about tough in China. Did you have positive sales growth in China despite the soft market or...
Bronwyn Brophy: Yes. We don't give country breakdown, but maybe the best and fairest way that I can answer that question is that we had growth in almost all countries in the APAC region in Q4. Even -- so I mean, on the Technologies piece as well, Sten, it was a tough year for capital purchases. But we saw a release of budgets, and it was literally in the final couple of weeks of the year. Lucky, we had enough EmbryoScopes in stock to be able to service the demand because it was quite an uptick in the last -- basically in the last 3 weeks. But it was -- yes, I'm not going to answer country specific. What I will tell you is, most of the countries in APAC had a positive performance in Q4.
Sten Gustafsson: Sounds good. And any countries doing extremely well, unusually well? Or was it more across the board?
Bronwyn Brophy: No, I don't think there was any sort of extreme -- I don't think there was any sort of extreme. So we did have a targeted campaign on disposable devices. We saw an opportunity to take share from competitors. And I mean, Sten, you know us very well. Media, we don't -- we've already taken a lot of share on media in APAC. So share gain opportunities are tougher to come by, much tougher to come by. So we've been looking at APAC as part of our strategic review. And we said, where do we have opportunities to take share? We can't continue to sort of grow with the market. And we identified disposable devices as a double down. So we went for that across the region. And then, the other big sort of needle mover was, we still believe there were opportunities on the EmbryoScope side, even though clinics were sort of managing the capital piece. And when they were released, we were able to capitalize on that. We don't have a sort of Genetics component here, but -- so yes. No, there was no explosion in any one particular country. That didn't happen.
Sten Gustafsson: Sounds good because, I mean, 10% is an impressive number given the softness in China. So, well done.
Bronwyn Brophy: Yes, absolutely.
Operator: The next question comes from Jakob Lembke from SEB.
Jakob Lembke: Yes. I just had a short follow-up just on Technologies in North America, if you can elaborate on sort of what countries, what sort of customers and so on?
Bronwyn Brophy: Yes. That's my favorite question, Jakob, because we had 40% growth in Americas. It was across the region. I think what pleases us most here is that we are starting to crack into the chains. And we came very close -- very, very close to having one of the largest cross-border chains in North America going full EmbryoScope. I think we were 2 short -- 2 EmbryoScopes short of a particular chain being fully converted to EmbryoScope. And that's been tough for us, right, because historically, in North America, we've been able to sell one-off EmbryoScopes, but we weren't really cracking the chains. And you can understand why. I mean, they're big -- it's a big investment. But that started to happen. It started to happen last year. We've adapted our go-to-market model. We now focus on key account manager style. So we have people specifically targeting and talking to the C-suites of the large clinic chains, and it's paying off. So what drove that big 40% increase is, we're starting to move the needle on EmbryoScope in the chains. It's been a heavy lift, but we're getting there now. And then, I think very importantly, as I always say to the team, don't just sell EmbryoScopes. You have to make sure that they get used. So the other metric that we're tracking, back to our commercial excellence dashboards, is we're checking the revenue generated per EmbryoScope. So we don't just want clinic chains investing in EmbryoScope. We want them investing and using them to drive efficiency. And we're starting to see the run rate in Technologies. That component is picking up very nicely. But it's all markets in Americas. But I should give a shout out to North America because I think the team did a really great job there. Does that answer your question, Jakob?
Jakob Lembke: Yes. That's great.
Operator: The next question comes from Ulrik Trattner from DNB Carnegie.
Ulrik Trattner: On Genetics and EMEA and the in-sourcing as you noted, you don't expect these sort of share losses to be regained, given that they've gone internal. But is it possible to sort of quantify the risk of continuous in-sourcing as we did see in the Americas 2, 3 years ago? Or is this more temporary related to the macro? Or is this a continuous trend?
Bronwyn Brophy: Yes. It's a great question, Ulrik. The ones who have in-sourced are the larger ones. So I never like to be complacent, okay? And we don't take any customer or any business for granted, and we have to earn our trust every single day. But the customers that have in-sourced in the second half of 2025 are the bigger ones. So I guess -- and I want to be really clear. I wouldn't call it share losses. It's definite in-sourcing. We can see it. We know the clinics. We have the names. We know the players and then people working there. So I think the biggest impact is likely behind us, Ulrik. And again, we've seen this with in-sourcing in North America. It doesn't always -- well, first of all, it's not as easy as people think. In any services business, scale is important. Economies of scale are -- they're very important. And I think a lot of clinics that did in-source, particularly in North America, didn't get the type of gains that they expected. Let's see if the Middle East are able to do it more efficiently or better. But it hasn't always paid off, the in-sourcing. I thought you were going to ask me [indiscernible] question, Ulrik. I was waiting for it. Yes. I think we're finished now. And I'd like to thank you all for your time and attention this morning, for your great questions. We very much appreciate it. So from Stockholm, from myself and Par and from Amelie Wilson in Investor Relations, thank you all very much, and have a wonderful day.